Philipp Schindera: Good morning, and welcome, ladies and gentlemen, colleagues. Welcome here in Bonn to our conference on Deutsche Telekom's financial statements. We get together once a year personally, too. And I'm pleased that we have the ladies and gentlemen of the press here personally. And I would also like to welcome all the staff who are following the conference on live stream. Great to have you. So we have some interesting things to tell you about today, and that's why we have more speakers than usual. I'd like to introduce the speakers for today -- for today and tomorrow. On my right-hand side, Christian Illek, CFO at DTIG; then Tim Hottges, CEO; Rodrigo Diehl, also on the Board of Management of Deutsche Telekom in charge of the German business, Dominique Leroy, she's in charge of the Europe segment; and Ferri Abolhassan, who's in charge of T-Systems. So Tim, I'd say with that, you have the floor.
Timotheus Höttges: Thank you, Philipp. EUR 1. That's the dividend we are proposing for every share, more than ever before in the history of Deutsche Telekom, and that alone shows that 2025 was a very successful year for us. We delivered. And with that, a very good morning from my side. Someone recently said about me, this guy is Deutsche Telekom. But I choose to disagree quite clearly, we are Deutsche Telekom. Our results are a team effort. 197,000 employees have made that possible, and that's why more colleagues are sitting here beside me today. So I'm really glad that we have the various Board members here from Telekom Deutschland, Europe and T-Systems at today's conference. Srini is still in the U.S., and they recently had their Capital Markets Day there. And I am very pleased to say that the Supervisory Board yesterday renewed the contracts of Birgit Bohle, Ferri Abolhassan and the contract of Thorsten Langheim. These contracts have been extended. And this gives us a great deal of stability. We now have an experienced team, and we have new members on Board, that gives us continuity, and that's what we need, first and foremost, in these difficult times. However, Deutsche Telekom is far more than just its Board of Management. We are a huge global team. And I would like to take this opportunity to thank all colleagues for once again achieving a record result despite the complex challenges we were facing in the past year. Like I said, 2025 was a challenge. We had to cover immense costs of energy for taxes, wages, fringe benefits. Competition in our industry is extremely intense. We dealt with Spectrum and for the first time, satellites, too. And of course, we also had to deal with sabotage attacks and power outages in the past year. And on top of that, there were exchange rate effects. In 2025, the U.S. dollar lost more than 5% of its value compared to the previous year of 4%, and that's EUR 0.05. And in 2026, the difference has reached almost EUR 0.10. But despite that exchange rate effect, despite the weak dollar, we've managed to grow across all segments, and we are growing everywhere. The strategy is working well. We are carried by the momentum of our flywheel and the numbers add up. All important financial KPIs have improved year-on-year, compared to the prior year quarter to the third quarter and to the prior year, improvements everywhere. So when you look at momentum, the fourth quarter was stronger than the third quarter. And by the way, the fourth quarter was also stronger than the fourth quarter of the prior year. So in the fourth quarter, the positive trend for Deutsche Telekom even accelerated. Net revenue on an organic basis is up 4.2% to EUR 119.1 billion. Service revenues up 3.8% to EUR 99.4 billion. Adjusted EBITDA is up 4.7% to EUR 44.2 billion, and we increased our guidance for this 3x in the course of last year and now exceeded even that. Free cash flow, up 2% to EUR 19.5 billion. And I don't think I even have to mention that we've also been able to invest a lot of money, which is also part of our flywheel strategy. So you can see Deutsche Telekom continues to be reliable, especially now where it counts the most. What does that mean? For me, it means, first and foremost, reliable networks. We continue to extend our network leadership. In 2025, we built 2.5 million new fiber optic lines in Germany alone. By the way, that's more than all of our competitors combined. And we offer extremely reliable service. 25,000 customers in Berlin, just to give you one example, received unlimited data from us. And in this way, they were able to stay in touch despite the sabotaging of the power grid and in most areas, the network was restored in record time. We bear responsibility, especially when it comes to such outstanding events. And that also means reliable investments in artificial intelligence, data centers, cybersecurity and resilience. Across the group as a whole, we invested almost EUR 17 billion in just 1 year, 2025, of which EUR 5.9 billion were invested in Germany alone. I don't know if there's any other company investing on that scale, maybe Deutsche Bahn, but we are doing that for the 12th year in a row, more than every competitor and more than in the previous year. We launched over 500 AI and data projects and our customers benefit from that. For instance, from our Frag Magenta chatbot, which chatted to customers some 7 million times in 2025, and it was able to independently resolve 56% of all inquiries. We also launched a voice bot in June for everyone who prefers to speak rather than type. And AI benefits the German industrial sector, too. Our AI factory in Munich delivers the necessary computing capacities. And so that is already available and very effective. With sovereign operation and sovereign data and we 100% comply with European standards. That's all guaranteed. In Germany, we often talk about sovereignty, and we claim that we need to be sovereign. And I can't think of any project that would help us more to reach that sovereignty. And we are now climate neutral in Scopes 1 and 2, meaning we are at net zero. Later on, maybe we can give you more details on that. At any rate, we have made sure that we are only using or that all our energy requirements are covered using renewables. All operators of critical infrastructure carry an inherent responsibility for stability, for protection for all aspects, and that's why we are expanding in the area of resilience and defense as well. And I'm not just talking about the resilience of our own infrastructure. We also want to invest in companies that will protect critical infrastructure in the future, such as the drone manufacturer Quantum Systems. We are now in the third round of funding as an investor. And we're also committing additional capital to fund through DT Capital Partners focused on defense and resilience and the minimum target volume is EUR 500 million. This is European capital for European resilience. It's about ensuring the ability of our country and our continent to defend ourselves if need be. Moving on to the outlook, and we remain optimistic regarding 2026. Let me be clear here that what I'm going to say now is not just a wish list. This is a work program. We want our adjusted EBITDA to grow by 6% to EUR 47.4 billion. That would be a 6% growth, like I said, all forecasts, by the way, are based on constant exchange rates, and we have applied the U.S. dollar exchange rate from the prior year of USD 1. 13 to the euro. We want our free cash flow to grow by 3% to EUR 19.8 billion. Why don't we say EUR 20 billion. And our adjusted earnings per share is to increase by around 10% to EUR 2.20. And we presented our targets for 2027 at the Capital Markets Day in 2024. And back then, these targets looked very ambitious, but I can tell you they are achievable. These are tough times for a lot of companies in this country. A lot of companies do not have reason to be as optimistic. So that is quite remarkable. And like I said, we presented our targets for '27 at Capital Markets Day in 2024, and we are fully on track in terms of earnings, in terms of free cash flow and earnings per share. We've achieved what we set out to do, and we are on our way to meeting our targets for 2027. Ladies and gentlemen, we can be satisfied even though sometimes it doesn't feel that way because a lot of the things, the factors that influence our success are factors that we don't have an influence on, like geopolitical tensions. Fewer and fewer players abide by the rules that were taken for granted for decades, then ever-changing regulations, especially in the European environment. 270 national regulators determine what happens in our business. Brussels sees a need for further action. And with the Digital Networks Act, it is just creating more bureaucracy, again, not less. Continuity alone, however, will not be enough to be successful in the future. It will also very much depend on how we are working together. And there are a lot of crises, a lot of challenging framework conditions, and we need to tackle them together with our staff. And that's why we have decided to enhance our corporate culture further. We recently had a big annual kickoff meeting where we launched a new program called T-Style. T-Style stands for three things. First of all, we want to improve our performance. We also want to improve cooperation inside our group or across our group, and we want to cut back on red tape in our company. And ladies and gentlemen, Deutsche Telekom is not stuck in a traffic jam. Sometimes we are the traffic jam ourselves. And that's why we need to take action to make things easier in order to be able to be faster so that our staff can also work more effectively. So T-Style stands for excellence, for creativity instead of rigidity, for cooperation instead of silos, for courage instead of fear and for confidence and optimism instead of gloom. And we have every reason to be optimistic across the group and in the segment. And that's why we are now going to look at the segments. And I would like to hand you over to Rodrigo Diehl.
Rodrigo Diehl: Thank you, Tim, and a warm welcome from my side as well. I will start with an overview of how we've executed against our strategic targets before I dive deeper into the financials. I will then round up things with an overview of my strategic priorities for 2026. Overall, we've made good progress along our strategic targets. 2025 was an important year for our fiber build-out. We now reach 12.6 million homes passed and added twice as many fiber customers as in 2023. So in 2025, we had twice as many customers on our fiber network as in 2023. We achieved substantial efficiencies in our fiber build, and we are going to reinvest some money in the fiber network. And we reconfigured our fiber strategy, more on this later. When it comes to a digital and AI-driven transformation, and Tim already made a few comments about that, we see some very encouraging early successes also in Germany. Let me give you a few examples. Our customer chatbot, which Tim already mentioned, is now fully LLM-based and achieves a 55% solution rate and people achieve around 70, just to give you an idea. 3.4 million contacts or problems are solved by chat or voice bots. We have reached 40% zero-touch automatic call identification, and we rolled out AI-based automatic call documentation for our service staff. And more than 2,000 employees are now using this capability. And we are still the undisputed market leader. We won all the service center shop and mobile network tests. And it's not just about tests. It's about the work done by thousands of employees every day. In this way, we can win these tests in the first place. Our customer bonus program, Magenta Moments has now been established in the market with 5 million active users. Our first-time resolution rate reached 77%. That's an all-time high, a record. And this too, obviously helps us improve customer satisfaction further. Complaints. And this is a number that I check every day. Complaints were down by 50% in the last 2 years alone, a 50% decrease. And last but not least, our brand recognition and our brand values are at an all-time high as well. Let me go to the next page. And let's take a look at our financials. I am pleased to say today that after a weaker third quarter, our headline financials are back on track. Organic revenues were up a strong 2.8% in the fourth quarter. Two factors contributed to this in roughly equal parts. First, service revenue growth, both in fixed and in mobile. Total service revenues grew 15% year-on-year; and second, strong revenues with our fiber joint ventures. In Germany, we have over 50 partnerships -- partners that we are building the fiber network with. Year-on-year growth in EBITDA at 2.5% was back at a normal run rate after an unusually weak third quarter. And now let's take a look at revenues on the next page. As mentioned, both fixed and mobile service revenues improved sequentially this quarter. Headlines last year were generally impacted by weaker-than-expected broadband and B2B fixed line revenues. In mobile, the 2.5% year-on-year service growth is a continuation of our ongoing strong performance that we've seen consistently throughout the years. And on the next page, we are taking a deep dive into mobile communications. And there, you can see the consistent strength in our subscriber growth. We had a lot of net adds. As you can see here, we were above the level of Q4 2024. And our propositions continue to resonate well with customers, both business and residential. And our network leadership remains undisputed, and we're extending it with our ongoing network modernization program. We've successfully addressed growing data demand with well-designed unlimited propositions that we recently updated. And growth at Congstar has also been a big help. And therefore, I am still optimistic, and we remain comfortable with our capital markets guidance of 2% to 2.5% mobile service revenue growth in the period from 2023 to '27, having delivered growth at the top end of this range in the first 2 years. And that's why, yes, we should actually come out in the range we defined at Capital Markets Day. Moving to the fixed line. We are pleased that our broadband net adds stabilized last quarter. We even won 2,000 net customers last year, 2,000 net adds. This stabilization is the result of multiple measures, including a steady acceleration in fiber connections. Before I give you more details on fiber, however, let's take a look at our progress in the TV segment. We added over 100,000 new TV customers in 2025, and this comes after a little over 300,000 in 2024. Back then the ancillary cost privilege became obsolete and 2024 was the year when we had the rights for the European Championship, which gave us a lot of tailwind. And now talking about fiber. This quarter, we added 164,000 fiber customers, our best ever quarter and much better than the figures we saw in the Q4 of 2024. And our fiber penetration was up 11% year-on-year at 16.4% and we'll continue to speed things up. We're stepping on it. The entire German organization focuses on increasing the number of customers using fiber. Fiber will continue to be our area of focus as I will demonstrate on the next couple of pages. So as mentioned, in 2025, we increased our fiber footprint by 2.5 million. As promised, we remain well on track for our stated 2027 target of around 17.5 million homes passed. But what's even more important is that the number of fiber customers increased by almost 600,000. Let me repeat that 600,000 German households were connected to the fiber network in 2025, a line from us. And therefore, we are on track towards our target run rate of 1 million in 2027. And we will continue to step up our fiber investments funded by improving efficiencies, budget reallocations and federal tax relief. This amounts to a total of EUR 800 million more for the years '26 to '28, which is a clear commitment to the fiber rollout as we continue to invest more than any other company in Germany, hence, living up to our responsibility. And as communicated in the third quarter, and we've come a long way now in terms of implementation, we are now increasing our focus on single-family homes and less densely populated areas. As for multifamily homes, we will increase our focus on connections, buildings prepared and the full build-out for more homes connected. meaning we're not just going to the basement, but we are basically connecting the entire home so that customers in the future will no longer have to wait 3 months for a fiber line to be connected, but just a couple of minutes. And we are also improving our sales approach, and the first results are very encouraging. We're scaling that, and it looks very good. Now let's take a look at the fixed line revenues. While our broadband net adds improved last quarter, our access revenue trends remain impacted by last year's volume losses. Retail broadband revenue growth slowed to 1.6% in the last quarter. This was driven by the volume losses, while the ARPU momentum remained positive, especially in the B2C sector. B2C ARPA was up 3% to 4% year-on-year. Overall, we remain committed to our capital markets CAGR guidance of 3% to 4%, even though this looks challenging from today's perspective. Wholesale revenues improved sequentially. Here, ARPA momentum continues to offset ongoing volume losses. Overall, over the '23 to '27 guidance period, we expect to deliver the stable wholesale access revenues that we promised at Capital Markets Day. So what are our priorities for 2026? Let me talk about that before I give you an outlook. We are industry -- the industry leader when it comes to the fiber build-out. And the priority is to keep accelerating our fiber customer growth towards our 1 million target in 2027. 1 million German households will be connected to our fiber network by 2027. And this will help us both on the volume and on the value side. Another key focus is to take our digital and AI-driven transformation to the next level. And personally, I am convinced that potential for efficiencies is even bigger than we thought to date. So we are modernizing our network, and we are constantly extending our mobile network leadership through our network modernization program, and we are translating this through our best network campaign into even stronger brand leadership. Another priority is to evolve our Magenta app into a central operating system for customer interactions along the lines of what you're seeing from T-Mobile U.S. So copied with pride from our colleagues in the U.S. As part of this, we aim for 70% of the extensions of mobile contracts and additional SIMs to be done through the app. In B2B, we want to stand apart from others with secure networks and market-leading cloud and AI propositions. We're doing that with Ferri from Systems. German business customers can work with us as a strong and German sovereign company that takes responsibility and will guide them through digitalization in a determined fashion. So now let me talk about the outlook. On the service revenue side, we're currently below our ambitious Capital Markets Day target. While mobile is tracking in line, weaker fixed service revenues are weighing. The weaker-than-expected fixed service revenues result from 2025 broadband customer losses and a weaker-than-expected B2B performance. This year, we're expecting overall similar total service revenue growth as in the prior year. On the EBITDA side, we expect a better trend in '26 and a return to a more normal year-on-year increase. So we are still committed to the goals we communicated at Capital Markets Day. EBITDA CAGR, 2.5% to 3%. But given the weaker growth in '26, we now expect to be at the low end of this range. With that, after this overview of the situation in Germany, I would like to hand over to Dominique. We've worked together for the past 5 years. Over to you, Dominique.
Dominique Leroy: Yes. Thank you, Rodrigo. Good morning from my part. Moving on to our European segment. I'm happy to confirm that we continued our success story once again in 2025. Let me share a few highlights along our main strategic pillars, growth, transformation and scale and our efforts to win the hearts of our customers. First of all, growth. We achieved strong service revenue growth of 3.9% in 2025, which was driven both by B2C and B2B. This success is based on our network leadership, further progress with fixed mobile convergence and strong B2B growth with ICT services. We've added 1.1 million fiber homes in 2025. bringing our FTTH number to 11.3 million homes with an average utilization rate of 36%, while our 5G coverage reached 92% by the end of 2025. Looking at transformation to scale, we're proud of our 73% app penetration and growing chat share. Our transformation towards more digital sales and service is progressing well. And we're driving AI for network automation, energy savings and improved customer experience. We've made good progress with scaling platforms with the build-out of centers of excellence in the B2B area and our common network operating model across the NatCos. Turning to the last category, winning the hearts of our customers. We're top rated in trim customer satisfaction in almost all our markets, both in B2C and B2B. 9 million of our customers have signed up to Magenta Moments and about 45% are actively using it every month. Next to our strong customer focus, we're also very proud to have very high employee satisfaction across our NatCos. And all these successes translate into a strong financial performance. In Q4, we delivered another excellent quarter. It was the 32nd consecutive quarter of organic EBITDA growth. Organic Q4 revenue growth was 3.5%. Service revenues grew 4.6%, helped by strong B2B IT service revenue growth in Greece. This brought full year service revenue growth to 3.9%. Our growth was strong both in B2C and B2B, and it remains underpinned by continued strong growth in customer numbers. EBITDA AL growth slightly dipped in the last quarter, but remained strong at 3.8% year-on-year. And we ended the year with a strong 5.4% organic EBITDA AL growth. So this slight sequential slowdown reflects the phaseout of previous price increases and the phasing of various one-timers. Our European commercial performance, going to the next chart, remains consistently strong. and it accelerated in all relevant product categories last quarter. All the NatCos are contributing to this trend with Poland doing particularly well. To carry on our success story in 2026, there are several priorities that I would like to highlight. We shall maintain our strong pace in building the best network. We will add more than 1 million fiber homes in 2026 while keeping utilization high. And we will push to reach 95% 5G coverage. To continue our growth in our core business, we will double down on delivering the best home experience to our customers and further enhance this with new smart features surrounding home control and security. At the same time, we will accelerate growth in new business areas beyond core. We will leverage Magenta moments in B2C by launching new propositions like gifting, travel and dining. This will reinforce customer engagement towards the tea brand. And we will double down on monetizing AI and digital sovereignty in B2B. We will push for even more transactions in our digital channels, aiming for more than 30% e-sales share and up to 50% of all mobile prolongations and tariff changes on digital. We will step up adoption of AI and sales and service, including in call centers and shops through AI-assisted transactions. We will further leverage AI to offer more hyper-personalized and contextualized experiences and products. And we will furthermore continue to simplify and retire our legacy systems to attain more efficiency gains. All of this will not only translate into better experience for our customers, but also help us further reduce our IDC to service revenue ratio. Going forward, we will build towards a next-gen customer experience, which is centered around the Magenta app. We will further drive customer engagement with Magenta moments and aim to reach 10 million registered members already by year-end 2026. And we will continue to focus on improving our customer experience across all domains. Next to our customer focus, we will keep on investing into our employees. Our goal is to push towards becoming top 5 employer in telco and ICT because we want to attract the best talent in the market with focus on future skills like AI. So all of these actions will contribute to our securing our #1 position in TRIM. We're very well on track for our stated CMD Capital Markets Day targets, both with service revenue and EBITDA AL where our growth in the first 2 years were each well ahead of our CMD targets. In 2026, we expect further growth in service revenues and an increase in EBITDA to EUR 4.8 billion. We also expect underlying EBIT AL growth north of the 3% range. That's close to what we delivered in 2025 and adjusted for the tailwind from the end of the Hungarian telco tax. So with that, I would now hand over the floor to Ferri, who will walk you through the story for T-Systems.
Ferri Abolhassan: Thank you, Dominique, and good morning. You are a role model for me. For 32 quarters, you've continued to improve performance that is outstanding. And this is something that we are working to achieve at T-Systems as well. And yes, we will use you as a role model for that. I think T-Systems is no longer Deutsche Telekom's trouble [indiscernible]. We certainly achieved the turnaround. And 2025 was a good year for the second time, and we'll try to keep that up. We don't want to be a burden for the group. Instead, we want to help bolster it. And for that, we need to earn our money and prove our value in the market. Revenue grew by 3%, which is in line with the promises made at Capital Markets Day, just like all the other KPIs. But we don't just want to increase revenue, but also profitability more so than revenue so that in the end, our cash flow is also good. We will likely never be the #1 pillar for the big tanker, which is Deutsche Telekom. But then if we make the most of our staff and their skills, then we can be a big support for Deutsche Telekom. Look at our order entry here at the bottom right, that was outstanding in 2025. We had an outstanding December and the full year was outstanding as well. And the order intake always gives an idea of a company's reach. We are in the project business after all. And that's why order entry -- the order entry we see here is not just good, but it also gives us an indication that we have had a good start to the new year. There's one number that is not shown here. So let me just mention it. We have a TRIM of 93 points, which is an all-time high. And I'm just saying that because Rodrigo and Dominique also said that we want to turn our customers into fans. that set the stage. And if we don't manage to do that, we won't be able to generate revenues. That's why we are very happy with our TRIM value, that's very good, but it's not the end of the story either. Every individual customer accounts and there's still some work to do here. In 2026, we'll continue to have stable financial operations, which is also in line with the promises made at Capital Markets Day. And this will at the end of the day, give us new opportunities as well for Deutsche Telekom, and that has always been the vision of Tim Hottges as well. When it comes to the important topics in the field of digitalization, T-Systems can make a major contribution based on the skills of our staff and for our customers, and we can prove it every day. There are basically 3 fields that I'm talking about. That's AI; secondly, cloud and sovereignty and thirdly, key industries. Let's talk about AI for a moment. At T-Systems alone, we have around 1,500 experts who only work in this field for our customers, and they are gaining a lot of experience that Dominique and Rodrigo will also be able to use both for internal and external AI products. And we have almost 500 AI and data projects, including our new AI factory in Munich and so open to others. I'll get back to that later on. At the end of the day, we also want to make a contribution to telecom's business in key industries. That certainly includes public and health and defense, which is another mission of ours and has been for quite some time. So we're not just beginning to work on that. We've been working on it for a while. And here, you can see the numbers for '26 that should give us the possibility to scale. In '26, we want to grow revenue by 50% year-on-year. T-Systems should have a share of EUR 200 million here. And at Capital Markets Day, we mentioned the EUR 1 billion target, and we are well on track to achieve it. And we are the market leader in the field of private cloud in Europe, but also leading when it comes to sovereignty in Europe. And we want to increase our T Cloud public revenues by 20% to over EUR 200 million. That is an important step, not just for T-Systems, it will also play a major role for the group. And we are doing that together. Rodrigo and myself, we are working together. We have a joint cloud group that we can use to launch new products on the market. And we realized early on that the automotive sector is also important for us. Over the past few years, we've taken relevant steps. And we ask ourselves how can we make the most of our experience here. Automotive will always be an important market for us, a market that we feel very loyal to. And of course, we want to grow, and we are trying to prepare ourselves for things to come, which is why we are now focusing more on public and health and defense, for instance, drones. So now we have a right to play. We stand apart from others. And that's why in '26, we aim for more than EUR 100 million of revenues, especially in these fields, public health and defense. And for that, we also need to focus on offshore and nearshore projects. We have an offshore team of almost 12,000 people in India by now. which doesn't only boost T-Systems profitability. We also do it for T-Mobile U.S. We also do it for Rodrigo. So we are the ones who support this field for Deutsche Telekom. So it's offshore, nearshore. And there's also a transformation towards AI. I call it a production machine. We set that up in India, and it helps us to use AI at an early stage so that we can use labor arbitrage, not just in the context of nearshore and offshore, but also in general. 10% to 20% is our goal here for this year. So we are doing things that make us stand apart from others that help us as T-Systems to grow, but that also support the group as a whole. So now let me show you my last slide. And this is an example of how Deutsche Telekom can support the notion of Made for Germany. What does Germany need to catch up in AI linking up to the big foundation models out there. That's the talk of the town. And I am proud to say that T-Systems as part of Deutsche Telekom has made it clear that we are tackling these things. In Munich, for the first time, we are using state-of-the-art technology for a complete AI stack. You can see some numbers here from Munich on the left-hand side within less than 6 months from the idea to implementation, we are starting with a set with the latest NVIDIA chips. We need a green data center that doesn't need a lot of energy with an energy efficiency factor of less than 1.2. But it's not just about selling hardware to the market. We are talking about an open, secure and sovereign AI stack. And this AI stack from connectivity right through to the data center layer, the platform and the connection together with partners such as SAP and Siemens is addressing customers to tackle things such as digital twins, optimizing products, digital twins, product maintenance, et cetera. So in this way, we are addressing the industry. Industry, SMEs, small- and medium-sized enterprises are the backbone of Germany's economy. And we're not just offering LLMs. But the question is how can a production company, how can an SME make sure security standards. It is run by our staff in Germany. And there's just one non-German element, and that's American hardware. There's no way around that. But it is -- other than that, it is sovereign from end to end. It is open to others and it can be used by our customers and industry and all -- are we limited to Munich as a location as such. But rather than just debating how we can make Germany fit for data centers and AI, we just want to get down to business now. And we can see that there is a high demand already I think it was the 4th of February when this new factory was opened and the level of utilization is already very high. So there's a great deal of demand, and we wanted to test how it is received in the market. And with that, over to Christian.
Christian Illek: Yes. Thanks,. I'll keep things short to and give you an overview of the group. But first, turning to the U.S. and then I'll finally look at the financial metrics over the last year and some of the financial ratios. Reported service revenue based on U.S. GAAP increased by 10.5% to USD 18.7 billion and that includes U.S. Cellular for a full quarter for the first time. Postpaid service revenue increased by 13.9%. There were several effects here. First of all, higher customer numbers, but also increased profitability. And adjusted core EBITDA also based on U.S. GAAP grew 6.8% to USD 8.4 billion. Customer growth in the U.S. was very strong in the fourth quarter, as you heard, 2.4 million postpaid customers. Although the churn rate rose slightly to 1.02%, that's incidentally a development that can be observed across the industry in the United States, and you can get the other key figures from the charts. Turning to the development with the group's financials. Here are the figures. And we're looking back on a very successful 2025. I'll try to analyze this for. We had a negative effect through the U.S. dollar, and that led to a lower profit, but we were helped by the U.S. dollar's drop in CapEx and also M&A activities also played a role, especially in the U.S. and especially U.S. Cellular, but also there were 4 additional M&A activities in 2025, the acquisition of several companies and a 50% share in 2 companies, [indiscernible] said, one metric was negative. That was an adjusted net profit. That was because in 2024, there were a reversal of impairment losses that took place the year before joint ventures with GD Towers and GlasfaserPlus. These result reversals of impairment losses increased reported net profit in 2024 and hence, also the basis for comparison for 2025. And this brings me to the development of free cash flow, adjusted net profit and net debt over the last year. Free cash flow, as I said, increased by 2% year-on-year. This was essentially driven by operative activities and EBITDA was EUR 1.12 billion, but the weaker dollar also had a reducing effect of around EUR 1.4 billion. If we hadn't had this, it would have been EUR 1.4 billion higher. And we had an increased CapEx greater than expected, around EUR 642 million in the United States was the increase in CapEx, around EUR 88 million in the Germany segment. Looking at adjusted net profit, that grew 3.7%, and that was lower than our ambition for 2026 if you look at '26, but we had the effect of the U.S. dollar and a weaker financial results. This came because of increased interest expenses in the U.S. and also in our stakes in other companies, and that explains the dip here. Net debt here, just a few words on this. As you heard, the weaker dollar helped us here with this minus EUR 6.7 billion. This is ex leasing of EUR 1.2 billion. But what's important is the right-hand side of this chart, where we have been able to reduce our net debt to EUR 6.2 billion. This is just a brief overview of the financial metrics, and I'll be glad to go into any detail if you want. With that, I would give the floor back to Tim.
Timotheus Höttges: Thank you very much for your patience. Now that's been an awful lot of information, but it was a very busy year, too, right? That became quite clear. Okay. So now let's continue with the Q&A. We're looking forward to your questions. Please raise your hand. Starting with Mr. Stefan Scher from the Handelsblatt. And make sure you turn on the mic so that people can also hear you in the video conference.
Unknown Analyst: Stefan Scher from Handelsblatt. I have two questions, Mr. Hottges. First of all, data center business is your -- something like your pet subject. And you want to make sure that Deutsche Telekom can expand its business beyond the network business. What direction are you headed? Telecom Italia has made a lot of headway here. What could be the role of that for Deutsche Telekom's business overall going forward? And secondly, last year, this conference, I asked you about the US and what's happening there and what's happening in the U.S. is in line with your values here. Back then you said that your values at Deutsche Telekom still apply but then now i understand you are helping to build the new premises on the White House. And how does that fit in with what you said before?
Timotheus Höttges: Well, the data center business is something that we have for quite some time. And we are running the data center to generate more business. So it's not about square meters and megawatt. It's about business and customers. With DTCP, our sister organization, sister company, we now have an opportunity to have good market partners in the data center field that gives us a lot of leverage, and we made the most of this room for maneuver in Munich. And yes, I think that demand amongst our customers will continue to grow here. Let me add to this. We have data centers across the group. We have Green Scales and Mine Cubes and own data center at Biere and Magdeburg. Then we set up this new data center in Munich. Of course we will continue to deal with the data center business and the question will be at some stage whether we can consolidate it into one business at some time but the final decision has not been made yet. I would like to mention the giga factory here. I think that german industry collaborates very well in this field. With the Schwarz Group, in particular, we have developed alot of common ground. We need GPO capacities for Germany at a completely new level compared to where we are today. But let me also tell you, Brussels made a lot of big promises at the Summit meeting with Macron. They said that they would invest EUR 6 billion in data centers in Europe, but we haven't heard a lot about that since. It is becoming increasingly difficult for the German government to combine their capacities in such a way that they can guarantee a minimum level of utilization for these data centers. And there is no real demand -- or sorry, no real reaction to the negative energy prices in this country or the too high energy prices. And yes, then we expected a tender from Brussels before long. And now apparently, this has been put off to May. So I would hope that things are sped up here and that politicians take action. Germany Deutsche Telekom doesn't need a gigafactory. Germany does. Let me highlight that. And if politicians do not provide a framework for that, then we will not invest in this kind of project, which is why, yes, the policymakers really need to provide relevant incentives. And then you asked about values and the ballroom next to the White House, which is currently being built. Yesterday, we had our Pulse survey for Telecom. It's a global survey, and it's relevant to us everywhere, and we've improved our results here once again. So our employees are feeling fine with Deutsche Telekom and its values. Needless to say, there's also a certain level of polarization within a company as big as Deutsche Telekom as anywhere else. That's normal for a democratic entity. So I look at this as a whole, and I am proud that there's this feeling of belonging in our corporation and that we have this culture that unites us all. And that is the reason why we've now set up the T-Style. Tomorrow, I'll have a big town hall meeting to also present the substance behind that T-Style program. There are legal and political rules in every country. We are not just holding up ethical standards for the sake of it. We comply with legal requirements in every country, obviously. And right now, in none of the countries where we are active, we are facing any restrictions of our values in terms of diversity, performance orientation and our corporate culture as a whole. We don't see any limits there. And you mentioned the funding of the ballroom. The Americans will be celebrating the 250th anniversary of the constitution. It's a big celebration. And if something like that were to be celebrated in Germany, Deutsche Telekom would sponsor it as long as it's in line with our brand and our products. In the U.S., it is a common thing that companies sponsor such events. And the benefit is that taxpayers don't have to pay for it. That is basically the responsibility of companies. But we are not supporting the building of the ballroom. We are supporting the inauguration ceremony. And that's part of good citizens in the U.S., and we will continue doing things like that in the future. It's just like I said, it's good corporate citizens. And that's nothing that would call our values into question at all. I'm not looking at that critically. Question from the WDR public broadcaster.
Unknown Attendee: You just held up the EUR 1 coin for the photographers, nice. I suppose that [indiscernible] trade union will also react to that. Can you comment on the imminent wage talks? There will be collective bargaining. To what extent do you want to make sure that employees will be able to share the success of Deutsche Telekom right now?
Timotheus Höttges: Yesterday, we spent the whole day discussing things with the employee representatives. I think so far, Deutsche Telekom has been very good at finding common ground with the employee representatives, sharing interests. And when it comes to the transformation of this company, we've always been able to shape it and manage it in a good way. Then again, I always -- I would always like to see more momentum, a more dynamic development in Germany as a whole, and we need to become more agile. Other countries are more agile than us. So we have to make sure that when it comes to productivity and our economic performance, we're good. That is the best way of guaranteeing that we can keep jobs and safeguard jobs at Deutsche Telekom. If that's not possible, then Deutsche Telekom will have to shift jobs to other countries. That would be the logical consequence. And that has already happened. That's the wage arbitrage, be it in the field of software development or software products. So yes, Germany needs to become more competitive, and it has already become competitive in some fields. There was once a discussion about outsourcing all our call centers. We said back then that external call centers would be -- were far more effective. But then together with the employee representatives, we developed a concept for making the call centers more effective, also very much driven by Ferri Abolhassan. Today, almost all of these call centers are still part of our company. It's almost exclusively telecom employees, and they are doing a great job, and that's precisely the right way, improving competitiveness, maintaining competitive together jointly, both nationally and internationally. And that's why I am hoping that we will have a fair collective bargaining progress with demands that are not over the top. And we offer continuity at Deutsche Telekom also in terms of our strategy and in terms of our cooperation with the employee representatives. And that's precisely what has made us strong in the past.
Unknown Attendee: I'm from DPR. You have a 60.4% pickup rate on FTTH right now. There's room for improvement, though. How do you think this will continue to develop? You're at 20% right now and the consumer agencies record the complaints and it's increased considerably, and this relates to the fact that it's being delivered a lot later than pledged. And the second major block of complaints relate to advertising. And I asked about what company was involved there with the consumers' agency and Deutsche Telekom was named among others. So has this -- have you heard about this criticism and the number of people that are making use of this. This Is not developing the way it should. And my second question relates to the TV business. Growth rates here are kind of moderate, let's say, going back to the football World Cup. Back then, you thought that the elimination of the ancillary cost privilege would help a lot. I'd just like to hear a rough estimate of why the TV business hasn't picked up like you hoped? And hasn't become this really major growth story that you were hoping for back then.
Philipp Schindera: Well, I can tackle that question. Regarding fiber, in the third quarter, we mentioned that our focus and objective is to connect people to the fiber network and to increase the utilization of it. That also costs money, and we've modified our strategy accordingly. We're focusing more on rural areas. We're seeing that with single-family homes where the utilization rate was 30% or a little over that. We want to move more to rural regions where there's more family houses there. And there is a bottleneck out there. It's difficult -- this is a difficulty in urban areas with multifamily apartments, apartment buildings. There, it's only 10%, slightly above 10%. And there are structural issues, too. Sometimes it's just not possible in these multifamily apartment houses to connect every family. So we want to make full build-out the objective. And when we're not allowed to do that, then we have to look at scaling. Q4 was our best quarter ever with -- we have the objective of 1 million in 2027. That would help us attain this utilization target. And you mentioned the past development. Yes. And we've made some excellent progress though. And this is since COVID because during COVID, fiber was a great business. A lot of customers wanted it then. That was a push back there. But now we have to approach customers. And the question is, how can we strengthen our distribution channels to approach customers. And 2 channels have -- that we're really trying to scale upscale right now, and that's bearing fruit. One of them is we call that consultants from the shops. These are advisers from the shops, and there will be 250 staff by the end of this year who will be going from the shops to approach customers and even visiting them. And we have relations with them. We know the streets, the roads. We know their neighborhoods, and we'll use this knowledge to -- we'll leverage it to go to the customers. And the second channel is we're building a lot of fiber every day out there, we have about 20,000 staff members, building, building, building, and many of them also enter into the buildings, the houses of customers every day, day in, day in, day out, 6,700 of them. And they can provide a pitch and develop leads to customers as well. The customers can then call a service center and get a fiber connection. We have 4,000 leads a week through this channel with a conversion rate of almost 50%. So that makes me very optimistic that we'll achieve this target of 1 million in 2027. And I can tell you all 60,000 of our employees in Germany are really focused on utilization of the fiber network. And that drives us. And that's our contribution to digitalization of Germany. And that's what motivates us when we come to work in the morning. And that's why we are optimistic that we'll achieve this. And the second part of your question, I think it has to do with the marketing model for fiber in Germany and how it works, how it functions. There's no premarketing. First contracts are concluded and then the building takes place. And sometimes it takes quite a long time and only then do customers get the fiber connection. And of course, sometimes it can take 6, 12 or even 18 months. The lag between the moment where the customer signs an agreement and really gets the connection. Of course, that's too long. And a lot of times, that causes some irritation among customers. But I can assure you, I look at these complaints relating to fiber week in and week out, and they are really decreasing significantly because we're learning. We're on a learning curve with our processes, with our journeys, and that's why these complaints are declining continuously and will continue to. With regard to TV, I'm actually quite satisfied with the development of our TV business. In contrast to broadband, where we're the incumbent in the TV business, we're the attacker. And we were the underdog really. And now we have 5 million customers on our TV platform right now, 5 million as the attacker in this market. And our ambition is to really boost this figure a lot. And we have a historical opportunity with the World Cup, and we bought the rights to the World Cup. And we'll have -- we'll be broadcasting 44 matches exclusively on Magenta TV. So we have really high ambitions for TV. And I wouldn't measure our success just in the number of subscriptions we have, but rather broadband subscriptions together with TV and the bundle that we're selling in a package. We were the most successful TV provider this year, if you look at the growth figures in the market among all the competitors, we grew the most. And I'm pretty optimistic that, yes, there is room for improvement. We have 15 million broadband customers and 5 million TV customers. So you see what potential there is. Just something to add on the business approaching customers at home. We've really worked hard on this and to really improve our professionalism here. And I can send you some additional -- I can send you a link where we address this topic. I think that's the best approach, this doorstep selling to fiberglass rollout in Germany. But yes, we're the leading provider when it comes to ethical standards here, too. Yes, the complaint ratio here is less than 1 in 1,000 in this area. I always say, hey, that's too many. And I look at this every week, but this also shows how much we're -- how hard we're working on quality. Then let's go to Ms [indiscernible] and then we'll look at the chat.
Unknown Analyst: I would like to go back to human resources. Mr. [indiscernible] said, if the underlying conditions aren't right, then we have to offshore, but we heard that we have 12,000 offshore workers and an efficiency boost through that of 10%. That sounds like you have some concrete plans to increase the number of offshore workers. What are your plans there? And then I'd like to ask about the AI gigafactory again, a question. How great do you think the possibility will be to get another one in Germany? And this cooperation with the Schwarz Group with getting -- is there indications that we could persuade them to get another gigafactory in Germany? What are the plans in this regard?
Timotheus Höttges: Let me start with the second part. We have a good partnership with the Schwarz Group. We're not planning anything on top of that. We are building 2 data centers in Europe. In Lebanon, the Schwarz Group is also building a data center. But for now, we're just focusing on the first one or two steps, not a third one. Yes, I think there is room for expanding the cooperation, and that's not an issue in the German industry. That's fine. Then the second question, what's the likelihood? I can't tell you that's an economic decision that we will take once we know what terms the tender comes with. Now I think it's interesting to look at the GPU prices that are defined, then the question is whether the EU and the German government will be able to ensure a 35% level of utilization using their own data centers. That is another relevant question. And the third question is, will there be any subsidies to offset the differences in energy prices? I mean, our prices here are 25% higher than those of the French, for instance, and they may be different elsewhere again. So these are the questions. And once these questions have been answered, then yes, maybe we can continue from there. But so far, these questions have not been answered. Yes, that was completely to the point. Then the staff transformation in Germany, that was the second question. You see in Germany, this staff transformation has been going on for quite some time. And Germany only accounts for 17% of Deutsche Telekom's business today. We are a global corporation. And needless to say, we are using or we are leveraging the benefits that come with that. And let's not talk about offshore here. These are real telecom colleagues. And when I go there, then they are sitting there with their telecom gear and they are fully committed, just as committed as our colleagues here at Lychen and Bonn. So these are telecom staff, and I just wanted to get that straight, not just some offshore staff. Secondly, our staff in other locations also have other skills that we leverage. So here's the thing about Germany. Everybody in this company has a certain entrepreneurial responsibility for this company, and it's been like that for a long time. Everybody is responsible for ensuring cash flow and profitability. And I'm proud of the turnaround that Ferri has brought about at T-Systems. We see a positive cash flow there. We can see that EBITDA is growing at the double-digit range, and that business has now become self-sustained as well. But for that, you need to make the right investments. You need to focus on the right things. You need to take the right decisions. And it also means that our staff is passionate of our business and is working effectively. And that's not possible -- if that's not possible in a particular location because staff are too expensive or not adequately committed, then you need to counteract that. So it's not against Germany, it's with Germany. I want to keep as many jobs as possible in this country, but it also needs to be affordable. And that's not just the responsibility of the employer, but it is also the responsibility of the works councils that are responsible for the various locations. And ultimately, we have to be careful. When we hear that everybody says, we call upon the employers to find some common ground. It's not just our responsibility. We need to find common ground with the employee representatives. It's their responsibility as well. Next question?
Unknown Analyst: Just a quick follow-up question. You mentioned the 270 regulators in Europe that are quite skeptical about AI gigafactories. But my -- what's your gut feeling about Europe? You've talked a lot about Germany. But how do you expect the telecommunications industry in Europe to develop from here? Do you think that something can actually change? And if so, how and why?
Timotheus Höttges: I'll start in German and then I'll switch to English. Yes, we are very disappointed with regulation in Europe. And the only good thing is the extension of Spectrum. That's the only positive trend that we are seeing here. But anything else that we are seeing is not good for the telecommunication sector. The rules haven't become any less complex. And the hyperscalers are not paying anything for using our networks. That hasn't happened. And we always said that we don't want to have ex-anti, but ex-post regulation. And now we see the new networks, the fiber networks, which are rolled out and ex-anti-regulation is not so important anymore. We need to have a free market, you see that makes it possible for all the players to compete against each other. And if you are -- if somebody is not adequately or not enough competitive, then you can still do something on an ex-post basis. But that's not how it's handled. So we are very disappointed, and we'll continue to fight for better regulation of our sector. It's an important sector. A lot of investments are made in this sector. This sector enables digitalization in all the countries. And it's really important that we are getting support from European lawmakers here also to counteract the trends that we see in the U.S. and China.
Philipp Schindera: I love your accent. I would just add a couple of things to that. First of all, in Europe, right now, we're seeing more and more red tape, more requirements. You have to just look at it very soberly and that's a fact. And yes, and that's being planned in the recent paper that was mentioned. And in this paper, we didn't find any answers to what [indiscernible] and [indiscernible] called for. The single market and the independence of Europe, especially in international competition with China and America, that would be so important. And there's no -- this isn't tackled in any ambitious way. And in this report, and I'm on the fifth commission now. This is the fifth commissioner actually that I've worked together with. And you always have the good and the bad. And the bad is quite clear. There's more regulations. This whole web of regulations isn't decreasing and there's fewer exemptions, but then they also say they want to extend Spectrum over a period of 50 years. And I can tell you right now, that's not going to happen. Because in the paper, it says that, but that's only so that the telecommunications industry is provided a little bit of hope, let's say. But the actual markets will never go along with that. And that's to put it mildly to put it bluntly, they don't take it seriously. And this lack of ambition in this paper and in Brussels that they approach telecommunications with is fatiguing. It's just wearing me out. And against this background, we're doing what we always do. We're carrying on. We're not trying to change things that we can't change. That's a great quote. By the way, write it down. We are concentrating on what we can do given the existing conditions aside from politics and things like that. We can invest. We can invest in fiber in the U.S. where it's profitable. We can invest in a gigabyte factory in Munich. We can push forward fiber build-out in Germany. We're not going to take off the blinders. We are focusing on these topics, but this industry could do a heck of a lot better and citizens in Europe could do a lot better too if there are more with more ambition in the telecommunications and digitalization market. You know this whole litigation with Meta. There's no initiative from Brussels in this regard. We'll stop. Good. And now I'm looking at the chat. And the first one on the list is Mr. Hassan from Reuters. Mr. Hassan Can you hear us? Then I would ask you to ask your question.
Unknown Attendee: Yes, i can hear you. I have a question for Mr. Abolhassan. You talked about the growing demand for the AI factory. And I would like to know what is the capacity utilization right now? And how much of that is from public institutions, either government institutions or research institutes.
Philipp Schindera: Well, I'm not going to disclose all the figures here, but we are about 40% to 50% utilization here, and that's in line with our ambition. And because it's only been open a few months, [indiscernible] factory. And regarding Sophie, you might have heard about this because that was publicly announced. We have a cooperation with the Nova Institute. This is the first European foundation model, and that addresses consumers and the public. And that is an open, secure sovereign factory for industry, but also for the public sector. And now that's where I would stop. There's still room. That's right. There's still room. And it would be not -- it wouldn't be so good if we opened a shop and everything was sold out in just a couple of months. Yes, just a brief addition.
Unknown Attendee: Ms. Hassan Yes, thank you. The dollar this year has really impacted the business this year. And I was wondering if you're planning on hedging against the dollar because you're talking about adjusted targets, financial targets? And my second question relates to the Germany business, the mobile communications market. If I see correctly, you're not expecting net adds for your market here. And I assume that your cooperation with Congstar and your other partners, fraenk will help you forward going forward this year. But how about with prices, special offers? And how do you want to react to the situation right now going forward?
Timotheus Höttges: I can tackle that first. Start with the second question, maybe take the second one first. Well, regarding the mobile communications market, your question on that, we Christian, correct me if I'm wrong, but we report just like we always did if we have a dividend in Germany. And if we look at customer growth figures, the good news is that we're growing our customer base in all three areas. So we're like a plane that has three jet engines in it and pushing us higher and higher. We have the B2B area where we've gained customers in the private customer business, we've grown. And also, we've gained customers with Congstar with that brand and the fraenk brand. So the segmentation we have is really paying off. And did you want to comment on Europe?
Philipp Schindera: Yes. I think in Europe, mobile communications is really important. 2/3 of our sales are from mobile. So that's part of our DNA here. And growth in the mobile area has been considerable. And you see that in T-Mobile and the Magenta markets, too. In Germany, you have a second brand. But in all the other countries, it's just the T brand. In all the markets, we're growing. Our market share is growing. And in Germany, we have the highest share of market revenue. We have a market share of almost 50%. We're growing in mobile in almost all areas. We're concentrating on the first brand because it's so strong, the T brand right now, nothing against fraenk and Congstar. We won prizes for these. So the focus on marketing of the first brand is paying off because it's so strong right now. And that's our recipe for success globally right now is a very strong mobile. Yes, we're only hedging in the financial area, right? And with M&A transactions, we look at this possibility. In the acquisition of Sprint, we do normal operative hedging. Everything else is just much too expensive actually. And in our annual report, you'll see some figures on that. And if you look at the currency rates, you'll see why we work with organic comparisons so the years can be compared with each other, just like -- so financial analysts can look at our business. But we don't do any operative hedging as you'll notice from the figures. Then the next on my list is Mr. Klein from Spegel. Are you still there? I see you on the monitor, and we can hear you Your question, please?
Unknown Analyst: I have questions on AI and broadband. Magenta AI is a big project. Can you tell us how it is used? And when do you expect to make any money with it? And about broadband, according to media reports, you've started to increase the monthly rates of old contracts. How many customers are affected by that? And are you expecting this to also have an influence on the number of fiber customers? Because maybe fiber will then also become more attractive. And yesterday, there was news that the Federal Network Agency said that they want to cut back on regulation of Deutsche Telekom in 4 big cities. Can you also comment on that?
Timotheus Höttges: Well, maybe, Ferri -- no, let me start by answering the question on -- yes, yesterday. Now I think we can see that the broadband market in Germany is working well as I've been able to see for myself as the Head of the German business here over the past year. So the so-called , [indiscernible] the basic agreement is a step in the right direction. But then 4 cities are not enough. We will profoundly analyze the proposal by the Federal Network Agency and then issue a statement on it at any rate is a step in the right direction. About broadband and rate adjustments. First, we're not doing that for all customers. We mainly focus on older calling plans. So we are talking calling plans dating back to the time before the Ukraine war and even before the COVID pandemic. And when you look at the past few years, you can see that the telecommunications industry in Germany did not increase prices in line with inflation. And when you look at all the things that have happened in the telecom industry in all countries, then you will find that, yes, prices in England, in Switzerland and the Netherlands everywhere were adjusted in line with inflation. But it's not just about calling plans. And you know that all fiber players are facing the challenge that their investments in the fiber rollout need to amortize at some stage, and that also applies to us. So much for broadband, now AI. We believe that we are in a position to help people actually use AI. And we have -- we are bold enough to test things. We've proven that on the basis of several offerings. We have incorporated AI into our systems. The colleagues from the U.S. also told us about something about AI in the networks recently. So things are in full swing here. And we are testing things. And I can see that the use cases are becoming more specific from year-to-year. And the use cases are moving closer and closer to our core, which is our network. And I am optimistic that in the future, Deutsche Telekom will have a right to play in the AI sector as well. Yes, let me add to this. We have a large portfolio of AI projects and products, both in consumer and B2B. Our internal goal is clear when it comes to increasing efficiency, but you also asked when will we be able to make money with it? Well, at the last Capital Markets Day, we did come up with a clear-cut number, and that was EUR 700 million for Germany, Europe and T-Systems for all 3 segments. And that's what I also wanted to say in my presentation. We are actually ahead of the budget here. And that's -- so EUR 700 million, that's committed. And this comprises AI products and projects in the external market that are highly profitable for us. There's a great deal of demand, and we know that we can do this. I am exchanging messages with Mr. [indiscernible]. So now we can hear him. Maybe you could speak up a little. It sounds as if you're speaking through a towel.
Unknown Analyst: That's not what I'm doing. The Federal Network Agency invited you to give out frequencies to a fourth network operator. Do you think that we will see 4 network operators in future? Or will there just remain 3 in place?
Timotheus Höttges: Well, the Federal Network Agency, I'll put it this way. In 2025, we negotiated with 1 on 1. And now the Federal Network Agency made a proposal. The proposal is that now national roaming should be used, including a compensation of the network operators to the tune of EUR 2 million per year. That's the proposal. We believe that this is a step in the right direction. And now we have a couple of weeks' time to come up with a reaction, and we will, yes, make the most of that time. Let me add to this. We can't really comment on this as we would like to because 1 and 1 would then probably take legal action. They don't want to see this discussed in public, which is why we have the best network in Germany, but 1&1 are trying to prevent us from telling our customers that our network is the best. So I would like to expressly thank 1&1 for making this such a big deal in public because in this way, we've been able to put across the message quite clearly to our customers. I think my blog was read by around 500,000 people on this topic. So -- but 1&1 are highly sensitive about that. And that is quite reassuring for me, you see. As far as spectrum is concerned I think that companies offering the highest bandwidth and the fastest speeds are in the best position. And that's what we are doing. Last year, we increased capacities for our customers once again. And I don't think you should strip such companies of Spectrum. Quite the contrary. And that's why our position, I think, is quite clear. We will do whatever we can to avoid giving up any Spectrum. It would be disastrous if the company offering the best network was to be punished, which would also mean that Spectrum would have to be passed on to others, which is unused. I mean, what has become of the 5G Spectrum? Take a look at it. This is my plea to the journalists here. My position is clear. We sold 400 megahertz. And of the 400 megahertz, around 200 megahertz remain completely unused as of today. That is not fair, is it? That's not the right thing as far as network coverage for the citizens is concerned. I think policymakers need to do more to ensure a proper network coverage for the citizens. Thank you. This brings us to the end of our conference. Let me just point out one thing. AI was mentioned several times today, and it will be mentioned even more often at the Mobile World Congress on Monday in Barcelona. We will have the Magenta keynote at 1:30 p.m. So you can either go to hall 3 in Barcelona yourselves or you might want to use our live stream in order to hear about the latest from us. Some first reports already came out this week, and there will be more. We are doing more in the field of AI. And there's a range of interesting things that Aura will be presenting in Barcelona. And I would also like to mention that on the 1st of April, Deutsche Telekom shareholders' meeting will be held. I hope to see you again at one of these events. Thanks for joining us here today. We wish you all a pleasant day, and we're saying hello from Bonn.